Operator: Good morning, ladies and gentlemen, and welcome to the Group 1 Automotive Inc, Second Quarter 2010 earnings conference call. Please be advised that this call is being recorded. I would like to turn the conference call over to Mr. Pete DeLongchamps, Vice President of Manufacture Relations and Public Affairs. Please go ahead sir.
Peter DeLongchamps: Thank you, Elizabeth and good morning, everyone, and welcome to today's call. Before we begin, I would like to make some brief remarks about forward-looking statements and the use of non-GAAP financial measures. Except for historical information mentioned during the conference call, statements made about management of Group 1 Automotive are forward-looking statements that are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve both known and unknown risks and uncertainties, which may cause the company's actual results in future periods to differ materially from forecasted results. Those risks include, but are not limited to risks associated with pricing, volume, and the conditions of markets. Those and other risks are described in the company's filings with the Securities and Exchange Commission over the last 12 months. Copies of these filings are available from both the SEC and the company. In addition, certain non-GAAP financial measures as defined under SEC rules may be discussed on this call. As required by applicable SEC rules, the company provides reconciliations of any such non-GAAP financial measures to the most directly comparable GAAP measures on its website. Participating today on today's call is Earl Hesterberg, our President and Chief Executive Officer; John Rickel, Senior Vice President and Chief Financial Officer; and Lance Parker, Vice President and Corporate Controller; and myself. I would now hand the call over to Earl. Earl?
Earl Hesterberg: Thank you Pete and good morning everyone. Before I turn the call over to John Rickel so he can provide details of our second quarter financial results, I'll review our operating highlights. During the second quarter, as reported by J.D. Power, year-over-year industry new vehicle retail sales increase 10%. We're pleased to report this morning that we far exceeded those results with our same-store new vehicle unit sales increased more than 23% and our new vehicle revenue was up 26.5% from the second quarter of 2009. We saw strength across the vast majority of markets and brands. In addition to the strong increase in new vehicle sales, we had even better results in our used retail sales where our same-store unit sales increased 24.2% from the same period a year ago and our revenue was up 31.7%. We indicated on our first quarter call that after 18 months of restructuring we were shifting gears on our plan for 2010 with focused on growing our company again. Our results during the first six months of this year indicates that we have been successful in that effort. In addition to the strong growth in new and used vehicle sales this quarter, we also delivered the following on a same-store basis. 15% growth in gross profit from wholesale used vehicle sales, reported higher finance and insurance growth profit per retail unit and saw F&I revenue increase 31.4%. Standard parts and service gross profit by 7.6% on 4.8% higher revenues from the prior year period. It should be noted that Toyota recalls accounted for only one percentage point of the revenue increase in the quarter. Global same-store revenues up 25% in the quarter and up 21.4% or $445 million in the first six months as compared with the first half of 2009. Improved SG&A expense by 390 basis points sequentially to 77.3% of gross profit and achieved an operating margin of 3.2%. During the quarter we had some adjustments associated with dealership dispositions and severance charges for restructuring a too recently acquired UK dealerships. Excluding these adjustments, on a consolidated basis, SG&A as a percentage of gross profit improved 340 basis points to 78% from the prior quarter reflecting our ability to leverage our inter cost structure. Our operating margins were 3% and earnings were up $0.75 per dilute share. Turning now to additional details on our new vehicle business. Our brand mix during the second quarter was comprised of 35% of unit sales from our Toyota/Scion/Lexus stores. We saw our Toyota unit sales increased 28% during the quarter, nearly doubling the national increase. Our next largest brand was Nissan/Infiniti which accounted for 14% of unit sales and where we saw a 41% sales increase in the quarter. Next stuff was Honda/Acura at 12% and BMW now represents a 11.5% of our mix as we've continued to expand with this profitable brand. Rounding out our line-up is Ford at 9% with a 26% increase in unit sales. Mercedes-Benz at 6% and GM and Chrysler representing 4% and 3% of our unit sales respectively. In total Luxury and Import sales comprised 85% of our new vehicle unit sales. Our new vehicle inventories stood at 57 days' supply at quarter end. Looking at the used vehicle business, as I mentioned earlier our second quarter same-store used retail revenues were 32%, 24% more unit sales from the prior year period. Gross profit for retail unit increased slightly to $1,862. Our certified pre-owned business grew to represent 35% of our used vehicle retail sales in the quarter. We will continue to focus on this higher revenue business as it also helps retain business in our service drives. Used vehicle wholesale pricing remain relatively stable during the second quarter. Thanks to our gross profit was $150 per wholesale unit and revenues were 53% higher on 31% more wholesale units. At the end of the second quarter Group 1 used vehicle inventory sit at a 29 day supply. Turning now to our other business segments, our same-store finance and insurance revenues grew 31% on higher retail vehicle sales. gross profit expanded to $1,028 per retail unit as a result of higher penetration rates in financing and extended warranty sales as well as lower charges. Our same-store parts and service gross profit grew 7.6% on 4.6% higher revenues reflecting solid growth in all areas of the business. Excluding the Toyota recall warranty work, revenues increased 3.8%. It was encouraging that increases of 3.5% in customer pay work, 8.6% in parts wholesale and 3.9% in collision repair all contributed to this growth. With that I'll now ask John to go over our financial results in more detail. John?
John Rickel: Thank you Earl and good morning everyone. For the second quarter of 2010, our adjusted net income increased to $17.8 million or $0.75 per diluted share. This result excludes $3.7 million net after tax loss on the disposition of the Ford/Lincoln/Mercury dealership in (inaudible) in Florida. A $1 million after tax non-cash impairment on a non-operating real estate holding and a $405,000 after tax charge related to severance costs associated with the restructuring of our two recently acquired BMW Mini dealerships in the United Kingdom On a comparable basis adjusted net income increased $7.5 million or 73% from $10.3 million in the second quarter of 2009 which excluded the following. A $1.3 million non-cash after tax impairment charge primarily related to our real estate holding which will help the sale, a $331,000 after tax mortgage debt refinance charge, $902,000 after tax gain on the dealership disposition and $475,000 after tax gain on the redemption of a portion of our 2.25 convertible notes. During the second quarter, on a consolidated basis, revenues increased $309.8 million or 27.9% to $1.4 billion compared to the same period a year ago reflecting increases in each of our business segments. Our parts and services margins improved 150 basis points to 54.2%. our new vehicle gross margins remained flat at 5.7%. Retail used vehicle margins declined 70 basis points from the prior year period, but increased 10 basis points sequentially to 9.6%. Wholesale margins declined 120 basis points to 2%. Our gross profit increased $35.5 million or 18.6% from the second quarter, a year ago, outpacing the increase in absolute SG&A expenses. Excluding the loss that we recognized on our dealership disposition in Florida and the severance charge in the UK from our 2010 results, our adjusted SG&A expense as a percent of growth profit improved a 180 basis points to 78% in the comparable results in the second quarter of 2009. Floorplan interest expense increased $800,000 or 9.9% in the second quarter of 2010 to $8.6 million as compared with the same period a year ago. This increase reflects a $110 million increase in weighted average floorplan borrowings during the quarter. At June 30, 2010 our new vehicle inventory stood at 15,800 units to the value of $484.9 million compared to $12,500 with a value of $374.4 million a year ago. Other interest expense decreased $1.3 million or 17.3% to $6.3 million for the second quarter of 2010. Our consolidated interest expense includes non-cash discount amortization of $2 million related to our convertible notes. As a reminder, our covenant calculations exclude the impact of non-cash interest expense. Manufactures interest assistance which we record as a reduction of new vehicle cost of sales is the time the vehicles are sold covered 70.5% of total floorplan interest expense, up from 60.1% in the second quarter year ago, primarily as a result of faster inventory turns. Now, turning to second quarter same-store results. In the first quarter we had revenues of $1.4 billion which was a 25% increase from the same period in 2009. Our new vehicle retail sales improved 26.5% to $753.7 million, a 23.1% more unit. We experienced increases in most of the brands that we represent. Our average new vehicle selling prices improved over $800 or 2.7% to $31,358 per unit. For our market-by-market retail data it is difficult to get in a timely manner, we believe that our results this quarter outpace the market. Fairly a new retail unit sales growth of 23.1% in total was significantly better than the J.D. Power estimated national retail increase of 10%. The focus we've put on growth is delivering results. Retail used vehicle revenues increased 31.7% to $320.6 million on 24.2% more units. On a per unit basis, retail used vehicle revenues were up over a $1,000 or 6.1% from 2009 levels at 19,126. With the increase in new vehicle sales and resulting trading activity, we also experienced an increase in our wholesale used vehicle revenue of $17.7 million, 1,900 more units. As Earl mentioned our parts and service revenues increased 4.8% reflecting a 3.5% increase from our customer spare parts and service revenues and 8.6% increase in our wholesale parts business, a 3.9% increase in our collision business and a 5% improvement in our warranty, parts and service business. Our F&I revenues were up $10 million, A 31.4% compared to the same period a year ago. In addition to the positive impacts from the 32.5% increase in new and used retail unit sales, our F&I revenues were bolstered by increased finance in vehicle service contract penetration rates of 3.7 percentage points and 2.7 percentage points respectively. Overall our F&I income per retail unit increased $61 to a $1,028 from the same period a year ago. Along with the 2.7% improvement in average new vehicle selling prices, our new vehicle gross profit improved 2% on a per unit basis to $1,798. Retail used vehicle gross profit was about flat with 2009 levels on a per unit basis, coupled with the increase in retail used vehicle average selling prices, our retail used vehicle margin declined 60 basis points compared to the second quarter of 2009 to 9.7%. However our same-store retail used vehicle margins have increased 90 basis points sequentially compared to fourth quarter of 2009 as we begin to get a better flow of trade-ins as new vehicle sales increase. Our same-store parts and service margin grew 140 basis points to 54.2% primarily reflecting the impact of increased internal work which was driven by improved new and used retail vehicle sales volumes. We also experienced margin improvement in our domestic brand customer paid business, as well as our warranty parts and service business which continued to be positively impacted by the Toyota recalls we began in the first quarter of 2010. In absolute dollars, SG&A increased 14.1% in the second quarter a year ago to $169.3 million reflecting the vehicle sales volumes improvement, but with the 17.3% improvement in our gross profit, the leverage on our cost structure resulted in a 210 basis point improvement in SG&A as a percent of gross profit to 77.3%. Excluding the third quarter of last year which benefited from the Cash for Clunkers program, this is the lowest with SG&A as percent of gross profit has been since the third quarter of 2007, when the industry saw it was at 16 million unit rate. Now turning to liquidity and capital structure. During the second quarter of 2010, we generated cash flow from operations on an adjusted basis of $8.4 million and added $32.2 million of cash on hand and another $72 million invested in our floorplan offset account as of June 30, 2010 bringing immediately available funds to a total of $104.2 million. In addition we had a $170.8 million available on our acquisition line that can also be used for general corporate purposes; etcetera total liquidity at June 30, 2010 was $275 million. During the quarter we used $19.2 million to acquire 748,000 shares of our outstanding stock at an average price of $25.69 per share. This exhausted the $20 million Board authorization issue in August 2008 and brought total outstanding shares down to $23.8 million as of June 30 from $24.5 million at March 31. In addition, as we announced earlier this morning, our Board of Directors authorized the repurchase of an additional $25 million in outstanding shares of common stock. We continue to remain focused on strengthened our balance sheet by reducing our debt levels. Accordingly we used $28 million of cash generated during the quarter to pay down our debt obligations. In total, over the past 2.5 years, we've reduced our non-floorplan debt by $172 million. We've updated the financial covenant calculations within each of our debt agreement and as of June 30, we were in compliance with all such covenants. Based on our industry outlook and projected earnings for 2010, we expect to remain compliance for the foreseeable future. With regards to our real estate investment portfolio, we own $356.5 million of land and buildings at quarter end which represents approximately one-third of our total real estate. The finance of these holdings reviewed our mortgage facility and executed borrowings under other real estate specific debt agreements. As of June 30, we had a $163.5 million outstanding under our mortgage facility with $71.5 million available for future borrowings. With regard to our capital expenditures, we used $4.7 million for capital expenditures during the quarter to construct new facilities, purchase equipments and improve existing facilities. We will continue to critically evaluate all plan capital spending for 2010 and the work of our manufacturer partners to maximize the return on our investments. We anticipate that our full-year capital spending will be less than $35 million. For additional detail regarding our financial conditions, please refer to the schedules of additional information attached in the news release as well as the investor presentation posted on our website. With that I'll now turn back over to Earl.
Earl Hesterberg: Thanks John. As John mentioned, our financial results were very positive, with piles of hard work and sacrifices of our team, that our team has made over the past 18 months. I am also very pleased to see the benefits of all that hard work being leveraged as we return to growing the company. Speaking to growth as previously announced during the second quarter, Group 1 purchased Toyota/Scion in Rock Hill and Audi Columbia dealerships in South Carolina in April. And we were granted a mini franchise that was added to our existing BMW store in Clear Lake, just south of Houston in June. Looking forward for 2010, it now looks like the industry is traveling toward $11.5 million for selling rate, to the assumption we're using for our near term planning purposes. We remained focused on growing our business with continued emphasis on achieving as much as we can organically from our existing stores. We're also continuing to look for attractive acquisitions at return levels (ph) and fit our strategy. We believe that acquisitions that deliver on those elements were appropriate places to invest, but as said that we continue to look for ways to return capital to our shareholders. Consistent with that, I'm pleased we were able to complete our prior stock repurchase authorization during the quarter and that the Board approved an additional $25 million authorization on July 26. That concludes our prepared remarks. I'll now turn the call over to the operator to being the question and answer session. Operator?
Operator: Thank you. Ladies and gentlemen (Operator Instructions) Our first question today will come from John Murphy with Bank of America.
John Murphy – Bank of America Merrill Lynch: Good morning guys.
Earl Hesterberg: Good morning John
John Rickel: Good morning.
John Murphy – Bank of America Merrill Lynch: If you look at everything that you guys have achieved in the first quarter and the earnings that you've posted it, its impressive and it's a $1.19. I was just wondering as we look at this – look back your historical seasonal patterns that would represent about 46% or about half of your earnings on a typical annual basis. If we don't see a real recovery in sales which is a debatable point but we'll see how things shake out, we kind of travel along in this lower $11 million unit run rate, is there anything that would be on in seasonality that happened in the first half of the year that would shift sort of that typical seasonal pattern and should we just assume that holds for the course of the year. Is there anything corky in the first half of the year that we should be adjusting for?
Earl Hesterberg: Not that I can think of other than obviously the comps were quite low in the first half of last year but I don't think there is anything a typical other than that.
John Rickel: John, its John Rickel, I mean as I think about it, I mean the first quarter obviously January and February had some pretty severe weather impacts, but a lot of that came back in March. So I really can't think of getting beyond that.
John Murphy – Bank of America Merrill Lynch: Okay, so – I mean if we stay to that low $11 million, it's safe to assume that second half earnings would probably be close to and we're trying to (inaudible) guidance would be a little potentially a little bit better than the first half if we had typical seasonal patterns?
Earl Hesterberg: Yes, I can't argue with that John.
John Murphy – Bank of America Merrill Lynch: Okay. Second question, what was the Toyota impact in the quarter for parts and service, was there any benefit there?
Earl Hesterberg: The benefit was in warranty.
John Murphy – Bank of America Merrill Lynch: Okay.
Earl Hesterberg: And as we mentioned I think in total it was one percentage point of revenue but that was virtually all in warranty because of recall expense gets booked into warranty. So, John.
John Rickel: Yes correct John. I'm just John replying, on the same-store basis we were up 4.8 in total excluding the Toyota warranty work. We were then up 3.8, warranty was up 5% including Toyota, excluding Toyota it was about flat, we were down about 30 basis points excluding Toyota on warranty.
John Murphy – Bank of America Merrill Lynch: Got you. And then on share repos versus acquisitions, you were active in the market on acquisitions in the quarter which is encouraging but you're also buying back shares and have the new authorization. I mean how are you guys balancing that out, I'm sure you're doing MPV calculations and return calcs (ph) there but, what's the thought process between those two right now because the stock is well I mean, how do you balance the valuation in the stock which appears pretty inexpensive versus acquisitions which may not be quite as inexpensive right now.
John Rickel: Yes John, this is John Rickel. Our first best use of cash, we continue to believe is acquisitions. If we can find acquisitions that meet the return targets and fits the strategy we continue to look at a lot of deals but we remain very disciplined on achieving those targets. So given the strong cash position we are in, we have the fortunate ability to do both, we saw a couple of good acquisitions which we're able to pickup but at the same time the stock we think is very attractively valued at the prices we've seen and we're able to also execute on the repurchase acquisition we had in place.
John Murphy – Bank of America Merrill Lynch: Then last, just one product question you guys both have deep roots in Ford. What do you think of the new Explorer just in general and what do you think it means for your Ford stores?
Earl Hesterberg: Well I think the important thing is that they've invested in it and just because of the size of the vehicle and the power of the Ford brand and the momentum Ford has, I think it's really positive for Ford dealers such as us because we make a lot more money selling those types of vehicles than we will offer compact cars and those sorts of things. So with the market shifting away from the old full size sport utilities, with the power of the Explorer brand name is great to see them update that with great fuel economy and power trains and fresh styling. So I think it's a real plus for Ford retailers.
John Murphy – Bank of America Merrill Lynch: Good, thank you very much.
Operator: We'll now take our next question from Patrick Archambault with Goldman Sachs.
Patrick Archambault – Goldman Sachs: Hi good morning.
Earl Hesterberg: Good morning Patrick.
John Rickel: Good morning.
Patrick Archambault – Goldman Sachs: Well first congratulations on the quarter. I guess just a couple of quick ones. On parts and service, that was obviously a pretty strong number even if you take out the impacts of the Toyota recalls, what do you make of the obviously at this point well publicized headwinds on warranty and potential on customer pay, based on that shrinking window of four to six year old vehicles, that we foresee in coming periods. Is that something that you can sort of sustain in positive territory for some time? What are some of the offsets that you think – well what are some of the offsets that have been working in your favor obviously this quarter that you think will continue to help you there?
Earl Hesterberg: Well the headwinds you mentioned remain valid. We'd had an exceptional performance this quarter and we've been pushing parts and service for a long time. I honestly wouldn't be confident that we've got to increase the business 4% or 5% every quarter into the future, in fact our goal is to just keep that thing in positive territory this year, but the strengths we've seen on customer pay have come from the domestic brands. Its – I don't know if they had more pent up demand from pulling back during the economic recession or what it is that's still in it but the domestic customer pay business is quite strong. And then things like parts wholesale and body shops really constricted during the downturn, and in fact we pulled back our parts wholesale business because of credit concerns with small business, wholesale customers and also during the toughest part of the downturn I think there were customers who were putting the insurance check in their pocket rather than repairing their damaged vehicles. So I think there is a lot of factors in our favor but the key parts and services with any significant growth rate we're going to have to push in every area. And we can't really count on warranty growth, I think the trend if you would take recalls out although bear in mind I think every manufacturer is starting to have one more recall activity there appears to be little more scrutiny there by everyone in the industry. But we certainly can't count on warranty growth. So we have to push in every other area and we'll do well to keep that positive quarter-after-quarter.
Patrick Archambault – Goldman Sachs: It sounds though like you're seeing some deferred maintenance come back in your favor now though, right?
Earl Hesterberg: I believe that to be the case.
Patrick Archambault – Goldman Sachs: Great. And second I just wanted to get your thoughts on the overall role of credit as you're seeing it, there has been some comparatively strong SAAR estimates made for July versus June which I guess is encouraging and some people have said that credit might have been a factor. I wanted to just get your take, how is availability on prime and sub-prime, is that changed over the past couple of months?
Earl Hesterberg: I don't know that its changed appreciably in the last month or two, but it was clearly a big factor last year and as we moved into this year, credit became noticeably better in all of retail and I think, in particular captives became more aggressive. The drag on credit as mostly been in recent months I think in still in Chrysler and GM and you've seen GM tried to addressed that, they still don't have some of the ability that brands with strong captive credit companies have and they appeared to be recognizing that moving to address it, but if you look at the overall picture I don't think credit is a huge issue in the market now but it's gotten continually better and it may get up a little better yet, so it's certainly a small tail wind, but the real issue remains consumer confidence and things like jobs and housing prices.
Patrick Archambault – Goldman Sachs: Okay, great. Thank you very much.
Operator: We'll now hear from Mathew Nemer with Wells Fargo.
Mathew Nemer – Wells Fargo Securities: Good morning everyone.
Earl Hesterberg: Good morning Matt.
Mathew Nemer – Wells Fargo Securities: I just wanted to focus on the new car business for a minute. Do you have any sense for what your new unit volume was versus the market in some of your key states like Texas, Massachusetts and California?
Earl Hesterberg: Well I can give you some ideas versus the entire market, not state-by-state, I don't have the state industry growth in my head. But I would say that we were on par with the industry growth, we're well above it in every area except specifically the Houston area is below average. So Houston, if the industry is up in total 17 or something like that now that includes split (ph) we're up more like 14. So that but our other markets including the rest of Texas we generally did more than 20% sales increases during the quarter.
Mathew Nemer – Wells Fargo Securities: And then on new vehicle margins, it seems like seasonally they typically are equal to or take a little step back from Q1 to Q2 of this quarter was a little bit more of step backwards then typical. Should we – from modeling purposes should we assume that 1800 is sort of the new level based on your push for revenue growth or how should we think about that for the back half?
John Rickel: Yes, I think that's a good assumption.
Mathew Nemer – Wells Fargo Securities: And then also on new vehicle inventory. Could you just comment on the mix that you have now between '09 and '010 and maybe how that compares and are you seeing shortages, we've heard about some shortages in the luxury brands?
Earl Hesterberg: There are some shortages in luxury brands and also every brand and I don't know but this has been very well publicized every brand is short in that pot either small issue or be it across over category whatever you call that thinks like Chevrolet Equinox, Toyota Route4, Honda CRV or those types of things Toyota 4Runners, every brand and every dealer is missing some sales or at least deferring some sales in that category. That category has not been well supplied in the first six months of the year. so and I think that's somewhat healthy, I think that actually helps the growth just a little bit that produces the model year-end carryover issues, but that's the hot part of the market right now. That in full size truck seemed to have picked up in recent months. Particularly last month and I couldn't explain that phenomenon to you but sales data would confirm that. So that seems to be where there were some shortage and so there probably are a few sales being missed but I'd rather have it that way.
Mathew Nemer – Wells Fargo Securities: Well a full size trucks picks up that maybe would suggest that your unit margins could improve a little bit or there other factors?
Earl Hesterberg: Yes, that could be, but the counter point of that – the challenging part of the market and you're seeing it from Toyota and Honda continue to be some of the former bread and butter model such as Camry Corolla, Accord Civic, I don't know if there are just more competition there now these days but those cars are very challenging to make margins on these days. Those are fairly big volume even when they are down year-over-year, that's still a pretty big piece of the total market and that's become much more challenging in the last year.
Mathew Nemer – Wells Fargo Securities: And then turning to SG&A, by my math it looks like you kept about half of the incremental gross from 1Q to 2Q, in addition to the 30% that's directly variable, could you just talk to what semi variable expenses are starting to come back into the model and how you're thinking about that?
John Rickel: Yes Matt, this is John. You're right, it was about kind of a $0.50, $0.55 to float through, so I think you got that piece of it right. The semi variable things obviously we started to put back a little of the advertising as we've started to push there, we've also restored some of the kind of temporary pay cuts that we asked for our team to take. At this point basically all of those had been restored to the theme.
Mathew Nemer – Wells Fargo Securities: What about staffing, where you have gone from say two GMs to one or two new and used manager down to one. Have any of those been reversed or you just kind of holding the staffing count flat?
Earl Hesterberg: We're holding the management staffing levels which is, but I think under little stress on that is the volume increases but clearly we've had to add some sales people to hand basically 25% volume increases, we're going to try to slow down on that as we see where the market got slowed (ph) a little bit in the last two months in particular the retailers are actually retreated as we all know, but we are very conscious of not adding further variable cost until we see the market headed up again. But we did have to add some people to handle that volume increase of business but that's more at a sales person level than in a management level.
Mathew Nemer – Wells Fargo Securities: And then lastly just one housekeeping item, John, do you have the operating cash flow adjusted for non-trade floorplan?
John Rickel: Yes, I mean basically the number I quoted in my script is the adjusted for taking floorplan out of it. And that was $8.4 million I believe for the quarter.
Mathew Nemer – Wells Fargo Securities: Got it.
John Rickel: Yes, $8.4 million.
Mathew Nemer – Wells Fargo Securities: Okay. Thanks so much.
John Rickel: Thank you.
Operator: Our next question comes from Himanshu Patel with JP Morgan.
Himanshu Patel – JP Morgan: Hi good morning guys.
Earl Hesterberg: Good morning Himanshu.
Himanshu Patel – JP Morgan: Couple of questions, first you guys just referenced the retreating that we saw in the retail SAAR and perhaps we have a bit of a recovery in July, I'm curious if you could provide a little bit more color behind what's causing some of this near term volatility, do you think this is just noise around OEM incentive activity or was there a sort of a genuine soft patch that you detected in the consumer in that sort of May to June timeframe and maybe is that sort of starting to recover now?
Earl Hesterberg: I think there was a genuine consumer psychology issue sometime early May or even late April and that's why there is all this talk about reason, there was day one the stock market momentarily dropped almost a 1000 points and there was a BP oil spill and then there was a jobs number that didn't add any jobs other than census (ph) job so I think there was really a little area there were consumer confidence again was severely shaken and it does seem that maybe some of these things are getting behind us and the stock markets settling down a little bit. So I think it's much more a sentiment driven, consumer sentiment driven market then its right now. Now the March-April activity that was pretty strong in the 9.5 million unit retail SAAR level, clearly Toyota triggers some of that with incentives and there was probably competitive responses. And it's the Memorial Day weekend there was a little incentive driven activity that Ford started and some others followed but I believe the majority of the market at this moment is the consumer behaving as the consumer will behave.
Himanshu Patel – JP Morgan: Okay. And then another kind of question more relevant I guess for you guys. We're about three quarters or so into the whole Toyota recall, since the first cut announced, I'm serious what's your perspective on sort of the health of the brand right now maybe as outsiders we don't appreciate the new answers so much because we just kind of get to see the volume figure. But do you sense now that there has been sort of enough of a change in the brand that Toyota has to play more aggressively on incentives even being this far away from the recalls than maybe it would have had to originally.
Pete DeLongchamps: Himanshu, it's Pete DeLongchamps. Let me take that one. One thing about Toyota, it's always been very responsive to the marketplace and when they trigger incentive activities, they've got a great finger on the pulse of the business. Our Toyota storage remain healthy, we have very positive showroom traffic and we're still very bullish on the brand and think that they're still one of the premier manufacturers and retailers in the world.
Himanshu Patel – JP Morgan: No evidence on Toyota used values?
Pete DeLongchamps: No, it remains strong and good Toyota trades with the right mileage and our – and I've seen (ph) every one of our Toyota dealerships.
Himanshu Patel – JP Morgan: Okay and then I'm sorry you gave this numbers earlier, could you just give us the breakdown again for parts and service same-store growth by segment?
John Rickel: Yes Himanshu, this is John. On a same-store basis, we're up 4.8% in total customer pay was up 35, warranty was 5, wholesale was up 8.6 and collision was up 3.9.
Himanshu Patel – JP Morgan: All right, thank you guys.
John Rickel: Thank you.
Operator: We'll now hear from Ravi Shankar with Morgan Stanley.
Ravi Shankar – Morgan Stanley: Thanks so much, good morning everybody. Can you give us a little more color on the geographic trends that you're seeing especially in the Gulf states, if there has been a stand down there related to the oil spill?
Earl Hesterberg: Yes, that's question we've gotten frequently and we have expected some real downward pressure on sales. we have dealerships from Houston, the Belmont (ph) the New Orleans (inaudible) and Pensacola and quite frankly our sales numbers did not bear out any weakness for the quarter, now that maybe ahead but the only Houston and Belmont (ph) were a little bit below average but quite frankly that's not the oil spill area although some of these deep water drilling companies are all supported by companies here in Houston. So Houston may have a little bit of a headwind but we have not yet seen any decline in our business across the Gulf coast but we did expect something.
Ravi Shankar – Morgan Stanley: All right and any broader geographic trends in the other regions?
Earl Hesterberg: No, nothing remarkable.
Ravi Shankar – Morgan Stanley: Got it. Your pricing strength in this quarter was really impressive. How sustainable do you think that is on the new vehicle side and are you seeing any particular OEMs that you think are getting more aggressive over the pricing?
Earl Hesterberg: Well I think some part of the ability for OEMs to price has been the used car market and the used car market, the used car values have gone up so much that combined with the fact that the manufacturers have tend to have right sized even their capacity or their production plan that inventories are under control and with used car values up most of the manufacturers had been able to price and I think Ford's earnings this week we saw how powerful pricing was for their overall strong profit performance. And we're kind of following along with that. And it's a good situation. The thing that will destroy at the most quickly for retailers such as ourselves would be excessive inventory levels and thus far that seems to be in good shape and I'm optimistic that this year's model sell down will be one of the best we've ever seen in terms of 2010 models being retailed out before they build up too much when the 2011's come into stock.
Ravi Shankar – Morgan Stanley: Got it, and then how far below ideal do you think inventories are on the new and used side both for yourselves and for the industry?
Earl Hesterberg: I think in total there about is close to perfect as I've ever seen, now I mentioned there is some model issues but I think when you have the ideal total level, you'll have some models with too much and some models with not enough and we always say the difference between too many and too few cars in our business is one. So I would be very happy if it would stay at this level for the foreseeable future and for the moment it appears that the manufactures are committed to that type of balance and discipline so let's hope it sticks.
Ravi Shankar – Morgan Stanley: All right and finally can you give us a little more color about the Toyota litigation that happened in the quarter, I mean what exactly happened there and they dropped their suite of course but how do you see things going forward?
Pete DeLongchamps: Let me cover that in two different ways, its Pete DeLongchamps. Much to our surprised and this may quite a bit follow-up suite against this late June to block to attempt to acquire the Toyota and Lexus dealership in Charleston, South Carolina. And as you know before we could answer the law suit and start our own claims and defenses the seller elected to terminate the purchase agreements and sell to a third-party. So as literally rented the law suit move and it was dismissed couple of weeks after it was filed, but I think the important thing to remembers is that, in the past 4.5 years, we've acquired three dealerships and four franchises including one earlier this year in the same state where the law suit was filed. Since then we've had ongoing battle with Toyota and our business relationship is very solid. As a point of clarification this deal was attractive to us because it enabled us to complete our Lexus portfolio as specified by the framework agreement. We're certainly cognizant of our high level Toyota exposure. So at the end of the day while we were disappointed not doing this deal is okay, so that's where we are on this Toyota law suit.
Ravi Shankar – Morgan Stanley: But why do you think they chose to do that because I've read in the press that Toyota said that the retailer didn't meet performance criteria, I'm not really sure what that meant in terms of you guys are for the target acquisitions but did you have dedicated understanding of why Toyota chose to do that?
Pete DeLongchamps: Well Ravi, it's interesting that we bought a Toyota dealership earlier this year and since then our business is up nearly double of what their national totals are. So I think there is some back channel things that were out of our control, but our Toyota performance continues to be some of the best in the industry.
Ravi Shankar – Morgan Stanley: And this is not influenced your future growth plans with Toyota franchise right?
Pete DeLongchamps: In the long-term no.
Ravi Shankar – Morgan Stanley: Okay, well thanks so much and good quarter.
Earl Hesterberg: Thank you.
Operator: Our next question will come from Rick Nelson with Stevens.
Rick Nelson – Stevens: Thank you. I'd like to follow-up on the acceleration that we saw on new and used car on a same-store this quarter much better than the industry and much better than the competitors that have reported. What do you think are the big driver, are those the regional, is it a mix issues, is it strategies, do you have place to drive those sales. What do you think it counts for the out performances?
Earl Hesterberg: Other than the low comps versus last year you mean Rick? No, I was kidding actually but we did start the year with our top priority being aggressive in selling cars and trucks because we didn't know where we could cut a lot more expense. There is always more expense to cut and we thought it was time to try to sell our way out of the economic doldrums and we actually came out a little too aggressive in the first quarter in our advertising. We put a lot of advertising into the market before the market was really there and in fact our advertising increase was much bigger that our sales increase, earlier this year. and it took some time I think for the market to catch up and for us to get traction but we came out to sell more cars and there is a couple of brands where we probably had a little margin trade-off and Toyota Nissan in particular to move metal but that's what we wanted to do in our and that's what we're able to do. So those percentage increase was aren't going to look so drastic as we move into the third quarter since we had the Cash for Clunkers and such last August and much bigger industry sales, but my hope is we can at least continue to keep some sales momentum going to leverage some of the cost reductions we did in the previous 18 months. But we did actually tried to sell more cars and trucks and we did.
Rick Nelson – Stevens: Earl, you mentioned the comparisons, do you think they were easier against the GPI compared to the others?
Earl Hesterberg: I don't see why they would be but I don't know, I just don't know this was really bad in first half of last year and I don't know if we were different from anyone else or not.
Rick Nelson – Stevens: All right. Do you think it's your mix of trucks given your geography as a contributor?
Earl Hesterberg: I do think being Texas and Oklahoma centric helps us some, but we did well in Boston and well along the Gulf coast and we did well just about everywhere, so I think we do we have moved our brand mix to a better brand mix for the company and over the last couple of years we have strengthened our company by disposing and some of the weaker stores. So I think we overall have a stronger company now in the dealerships we have certainly we have much better management than we had years ago, we've got great field teams it's been in place for a while and we had a little tail wind from the market recovery. So I guess we had a lot of things worked for us and our job is to try to keep that momentum going.
Rick Nelson – Stevens: Great. To that July we're hearing about a recovery in the industry is how something you're saying there GPI (ph) as well.
Earl Hesterberg: I couldn't confirm that yes we track traffic weekly, it does appear to be up a bit but I would never judge a month of sales until I have the final week because the final week there is so much to determine sales in any given month but I read the channel checks for J.D. Power like you do and there certainly appears to be a consensus that the retail SAAR is moving back more to the March-April level than the May-June. So I am optimistic about that but I can't confirm it without the numbers yet.
Rick Nelson – Stevens: Okay and just to follow-up on the Toyota situation on the law suit, do you now have the ability to acquire Toyota, should you desire?
Earl Hesterberg: Well that will ultimately be up to them, I would tell you that we have acquired numerous dealerships for Toyota with performance below where we are today. So at the end of the day they make that decision on any given deal and they will in the future as well. And we won't change our plans for anything that's happened in the past try not to get emotional about those things. We – if every Toyota dealership in the country had increased their sales by 28% last quarter, Toyota would probably have little different press coverage and image in the marketplace right now and so we do a great job for them and we're going to keep doing a great job for them and I'm sure things will work out just fine.
Rick Nelson – Stevens: All right, thanks. Good luck.
Earl Hesterberg: Thanks.
Operator: Ladies and gentlemen that concludes today's question and answer session. I would now like to turn the call back over to Earl Hesterberg for any additional or closing comments.
Earl Hesterberg: Thanks to everyone for joining us today. We look forward to updating you on our 2010 third quarter earnings results in October.
Operator: Ladies and gentlemen that conclude today's conference call and we thank you for your participation.